Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2011 PPG Industries Inc.'s Earnings Conference Call. My name is Carol, and I will be your coordinator for today. [Operator Instructions] As a reminder, ladies and gentlemen, this conference is being recorded for replay purposes. It is now my pleasure to turn the presentation over to begin with to Mr. Vince Morales, Vice President, Investor Relations. Vince, you may begin.
Vincent Morales: Thank you, Carol. Good afternoon. This is Vince Morales, Vice President of Investor Relations for PPG Industries. Welcome to PPG's Second Quarter 2011 Financial Teleconference. Joining me on the call today from PPG are Chuck Bunch, Chairman of the Board and Chief Executive Officer; and Dave Navikas, Senior Vice President, Finance and Chief Financial Officer. Our comments relate to the financial information released on Thursday, July 21, 2011. As a reminder to everyone, based on our modified quarterly earnings call process, about one hour ago, we posted detailed commentary and accompanying presentation slides on our Investor Center at our website at ppg.com. These slides are also available on the webcast site for this call. We do not read these prepared remarks during the call. During the call, Chuck will share his overall perspective on the company's results for the quarter, and then we'll move directly to Q&A. Both the prepared commentary and discussion during this call may contain forward-looking statements reflecting the company's current view about future events and their potential effect on PPG's operating and financial performance. These statements involve uncertainties and risks, which may cause actual results to differ. The company is under no obligation to provide subsequent updates to these forward-looking statements. This presentation also contains certain non-GAAP financial measures. The company has provided in the appendix of the presentation materials, which are available on our website, reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures. For any additional information, please refer to PPG's filings with the SEC. Now let me introduce PPG's Chairman and CEO, Chuck Bunch.
Charles Bunch: Thank you, Vince, and welcome, everyone. Today, PPG announced earnings per share, which are up 30% versus the prior year and a record for any quarter in the company's history. This represents 4 consecutive quarters in which we delivered record earnings, underscoring the benefits of our broad end-use market reach and the global business portfolio we have built. Perhaps more importantly, our solid execution and operational excellence played a key role toward a strong performance in the quarter. We delivered higher pricing in every segment and continued our hallmark of aggressive cost management. This allowed us to overcome several transitory factors that impacted volumes in several of our businesses, including the full brunt of the automotive OEM industry production curtailments due to supplier disruptions related to the Japan crisis, scheduled and unscheduled production downtime in our Commodity Chemicals segment and poor weather conditions for architectural painting in the United States early in the quarter. The month of April was most heavily impacted by these factors, and our year-over-year volumes were negative in that month. Our volumes rebounded soundly in the remainder of the quarter to a growth rate comparable to the past several quarters. We posted positive volume growth in all regions, with Asia Pacific delivering the highest growth rate once again, driven by solid industrial gains in China. Our coatings segments delivered excellent results. The Performance Coatings segment established a new earnings record, and the Industrial Coatings segment matched their second quarter earnings record. This was done despite operating margins for these segments that dropped modestly versus last year as a result of the weakened April volumes and a European architectural home center customer bankruptcy charge. Our coatings margins in the months of May and June were consistent with the prior year as volume growth resumed, and all 8 of our coatings businesses delivered higher pricing. Our Optical and Specialty Materials segment also achieved record quarterly sales and earnings. This performance was despite increased optical advertising costs as we broadened our geographic exposure by capitalizing on high growth opportunities in the emerging regions where we have delivered sales growth of 30% this quarter. Commodity Chemicals sales grew due to higher pricing, and earnings doubled despite increased maintenance costs and lower facility utilization due to extended downtime. Glass results also improved on strong fiberglass pricing. Lastly, we have continued to deploy cash on earnings-accretive initiatives. In doing so, we have remained mindful of our tradition of returning cash to our shareholders. Fully illustrating that tradition is that over the past 12 months, we generated $1.2 billion in cash from operations and have returned 100% of that cash to shareholders in the form of dividends and share repurchases. This past quarter, we also finalized a few acquisitions and pre-paid $400 million of debt that was not due until 2012. In summary, I'm pleased that we were able to deliver record results despite some uncommon events this past quarter. We relied heavily on our strong execution, a PPG heritage and were aided by our portfolio balance. Looking ahead, we anticipate the global economic recovery will continue, although at its current uneven pace. The resumption of automotive OEM production in the second half of the year and our strong position in high-growth businesses and regions, such as Aerospace and Asia Pacific, will supplement our growth. Also, although inflation pressures are moderating somewhat, we intend to secure additional pricing in businesses where we have not fully offset the inflated raw material costs. Finally, we intend to deploy between $500 million and $1 billion of cash in the second half of the year, with a focus on earnings accretion. That concludes our prepared remarks. Now, operator, would you please give instructions and open the phone lines for questions?
Operator: [Operator Instructions] Gentlemen, your first question will come to you from the line of John McNulty of Crédit Suisse.
John McNulty - Crédit Suisse AG: Just a couple of questions on the Architectural business. In the volume trends in the U.S., can you give us a breakdown of what you were seeing in the big box versus your own stores?
Charles Bunch: I would say those were roughly similar, John. I think, again, weakness early in the quarter, improvement as we went through the quarter. But I would say between our own stores and the big boxes, fairly similar trends.
John McNulty - Crédit Suisse AG: Okay. And then in the Olympic ONE brand that you launched, can you give us some color as to the type of premium that you're going to be getting relative to your current platform and then if you're going to be getting incremental shelf space or if this is something that should be eating into the regular Olympic brand? How should we be thinking about that?
Charles Bunch: Well, the price point for Olympic ONE, which is a -- one of the most exciting new product introductions that we've had in many years, it's now has been fully stocked in the Lowe's stores. Our price premium for Olympic ONE versus our current Olympic Premium line is on the order of 20% to 25%. We think from a value standpoint to the consumer, this will be one of the most -- one of the best value propositions, if not the best value proposition in terms of quality of paint in the can, the ability to use paint in primer, one-coat coverage. We think that this is going to be excellent value for the consumers at a premium price versus our current Olympic Premium. Olympic Premium will stay in the Lowe's stores. We are not getting a significant incremental shelf space with this, but we are now sharing the existing shelf space that we have with our current Olympic Premium. And we're getting displays, end caps, strong support in-store from our valued customer. And we're backing that up with a strong advertising push to get the message out on this exciting new product.
John McNulty - Crédit Suisse AG: Great. And if I can just ask one last question, on the European architectural business, it look likes volumes are actually finally starting to recover. And I guess I'm wondering what's driving that, if it's real demand, if it's share gains. Because I was a little bit surprised to see that up to 3% that you were highlighting.
Charles Bunch: Yes, we had a nice volume improvement in Europe. I would say that was in Continental Europe with a little more strength in the French market. We also though had volume improvements in the Benelux and Eastern Europe. The U.K. market continues to be the weakest market that we participate in, and there, we didn't experience the same volume growth.
Operator: Gentlemen, your next question comes to you from the line of Bob Koort of Goldman Sachs.
Robert Koort - Goldman Sachs Group Inc.: Chuck, I made an observation that since the beginning of the year, your stock price is up about 7% or 8%, but the forward earnings estimates by TheStreet are up about 23%. So clearly, something's happened to value the stock. And I'm just curious on 2 fronts. One, does that seem unreasonable to you, and we can expect maybe a little bit more aggressive share repurchase? It looks like it curtailed a bit in the second quarter. And then two, as we look into the second half of '11 into '12, do you think we'll see a little bit more of the weight pulled by the coatings businesses to show some growth there as you get those prices and maybe some moderating of raw materials?
Charles Bunch: I would say on the share price to earnings multiple, I think, as most CEOs, we always feel that our company share price is undervalued. I'd say in this case, we continue to report excellent results. I think maybe there was some weakness out there because of some other announcements in the space that companies that may be weren't as confident about their performance. But we feel that there's excellent value in the share price. In the second half of the year, we have, as we discussed, plenty of cash that we intend to deploy. This is -- as you look at our cash flow through the year, it usually builds in our company through the second half of the year. So we will have additional opportunities for what we call value-accreting cash transactions concluding. I think more aggressive share buybacks. I think the second half of the year, also, from a raw materials standpoint, I see some moderation. If you look more specifically at the organic raw materials side, we've seen some price declines. You've seen overall lower prices in Asia and here in the propylene molecule and in some of the resins. So I think that's going to help moderate the price increases in the second half. We're still looking at inorganic raw materials, specifically the pigment and TiO2. We don't see the same price declines, but we think overall, we're going to see a flattening as we've been talking about in raw material prices that should allow us to recapture some of the margin that we've lost in the supply or value chain. And I think it will be a good opportunity for our Coatings businesses to demonstrate the earnings and margin power that we've been talking about for the last several years.
Robert Koort - Goldman Sachs Group Inc.: Terrific. And if I might add one follow up, I noticed in your regional variation that, obviously, Asia Pacific continuing to pull the greatest growth rate, but Latin America looked a little bit lighter. Is there something in one area particularly that made that a little bit skinnier this quarter at 1%?
Charles Bunch: I would say that the architectural business, this is not their strong season in the southern hemisphere. And I think you've seen some announcements about the architectural market in Brazil. I would say that it hasn't slowed down, but it is moderating. And there has been what I would call some pricing activity or market-share activity in Brazil, in particular, that probably moderated some of the, let's call it, the margins in that business in Brazil. So I would say that, that was probably the weakest market in South America or Latin America for us.
Operator: Gentlemen, your next question comes from the line of Frank Mitsch of Wells Fargo Securities.
Frank Mitsch - BB&T Capital Markets: Chuck, in your commentary, you mentioned that in the auto refinish business that it's showing some good growth in Asia Pacific as well as U.S. market share gains. Can you provide some more color regarding that?
Charles Bunch: Well, we continue to be very pleased with the performance of our Asia Pacific refinish business. Those are the fastest-growing -- not only automotive OEM markets but also automotive aftermarkets. And the car park in China and India is growing at rates unlike anything that we see in the more mature markets in North America and in Western Europe. We have the number one automotive refinish business in China. We are very well positioned in automotive refinish in India. And those markets have continued to provide us with a good growth, and our teams are executing very well. Here in North America, the biggest difference for us has been in the success of our waterborne automotive refinish systems. We think we have an excellent-performing product, and even in areas where there are air quality compliance issues, we're seeing the customers in the body shops embrace our product. And even in areas that are not yet in-compliance regions, those distributors and automotive repair shops who are trying to get a little bit ahead of the curve in terms of conversion of water-based systems have been driving our growth in this market. So good performance in both regions for our refinish business.
Frank Mitsch - BB&T Capital Markets: All right. So technology is a key factor then in your ability to pick up market share in the U.S.?
Charles Bunch: Yes.
Frank Mitsch - BB&T Capital Markets: All right. And then obviously you're talking about spending $0.5 billion to $1 billion the balance of the year for earnings accretion either, I guess, share buyback or acquisitions. Can you talk about the pipeline that you see out there, the valuations that are out there and how confident are you that you're going to be able to execute on some of the M&A that you're targeting?
Charles Bunch: We have a robust pipeline. We've had, we continue to work our acquisition pipeline throughout the world. I would say that from a valuation standpoint, China is a little on the pricier side because as we talked in earlier conversation, there is an active IPO market in China, even for smaller companies on these secondary exchanges. So we are competing in some cases there with the opportunity for these companies to IPO. But I would say in Europe, in Eastern Europe, in other emerging regions in the Middle East, Africa, Latin America, we think we'll be able to execute several of these transactions that we've been working on, and we hope to announce several of them certainly as we go through the second half of the year.
Operator: Gentlemen, your next question comes from the line of Don Carson of Susquehanna Financial.
Donald Carson - Susquehanna Financial Group, LLLP: Couple of questions on the commodity side. What did the outages and extra maintenance costs run in the quarter? What were your operating rates in the quarter? And you talked about, I guess, an outage at Lake Charles or plant maintenance turnaround this quarter. Just wondered what impact that will have? And Vince, can you give us the delta in pricing? I know you don't like to give the absolute number, but how much was ECU pricing up, sequentially?
Vincent Morales: Don, the maintenance was certainly more than $5 million year-over-year. Our operating rates were below 90 in the quarter, which is below industry rate, as you know. We don't give pricing, but we got our fair share of the price increases that were announced, and pricing was up sequentially and, obviously, year-over-year as well. In Q3, we do have a fairly -- our largest unit out, and that will probably result in a similar sequential production rate, but it will be down again year-over-year.
Donald Carson - Susquehanna Financial Group, LLLP: Okay. And is there a maintenance charge associated with that? And then also, how about Equa-Chlor? Is that accretive in the quarter and should be accretive again this quarter?
Vincent Morales: Maintenance will be modestly lower in Q3 than Q2, Don, but still up year-over-year. And I'll let Chuck talk about Equa-Chlor.
Charles Bunch: Equa-Chlor has been accretive since day one, so we had 2 two months of Equa-Chlor operations. And the acquisition has performed well above expectations and accretive in May and June, the 2 months that we own the property. So went off to a great start.
Charles Bunch: And I'm sure Don you saw the gain we recognized in the quarter from -- and we bought the assets at below fair market value, so we had the accounting requirements required us to write those up to fair market value, so that was a gain in the quarter.
Donald Carson - Susquehanna Financial Group, LLLP: And Chuck was that a one-off opportunistic acquisition? Or do you want to continue to grow your chlor-alkali business?
Charles Bunch: I would say it was a -- it certainly wasn't part of -- it is not part of our core strategy to make these types of bolt-ons. It made a lot of sense for us in terms of our overall operating footprint and the things that, from an asset value, that the transaction brought us. We are not, though -- we have not significantly changed our strategy in chlor-alkali. And we're not looking to make any significant acquisition plays in that business.
Operator: Gentlemen your next question comes from the line of Kevin McCarthy of Bank of America Merrill Lynch.
Kevin McCarthy: In terms of raw material costs, the frequency and magnitude of these titanium dioxide increases continues to escalate, can you talk about your raw material basket, how much you think it might rise and how the delta between your selling price realizations and that inflation is likely to trend in the back half of the year in the coatings businesses?
Charles Bunch: Well, our -- as I mentioned earlier, we think the overall basket of raw materials for PPG is going to flatten out here in the second half. We may see some increase on the inorganic side, but we think that is going to be balanced out by decreases on the organic side in both our resin solvents and the like. We've seen some of the building block chemicals going down in price here and in Asia. So we're looking for a moderation or flattening out in the second half of the year. And we think we've been capturing about 75% of the raw material impact in our prices. We still think that we're catching up with our prices. And as we go through the year, we think we're going to be able to offset more of that increase in the second half of the year than we've seen here in the first half, as we've been kind of chasing a moving target. And so I'm confident that our team is going to continue to execute on pricing where necessary, and we're continuing to focus on operational excellence, cost reduction, so we can try to minimize the impact of these increases on our own businesses and our customers.
Kevin McCarthy: Chuck, just a follow-up on that, of the 75% of cost inflation that you're capturing, would that number vary meaningfully by distribution channel? Maybe you can just talk a little bit about your experience in company-owned stores versus big boxes and smaller dealers?
Charles Bunch: I would say that it hasn't varied significantly by channel. I think the issues are -- that we're facing are also being -- we're participating in all 3 channels, so we're seeing similar issues that are facing our customers. In all of those channels, I think the competitors are facing similar issues. So I would say that recapture of the raw material price increase is probably similar by channel.
Vincent Morales: Kevin, the difference is by business. So architectural, it's similar by channel, but by business, some businesses are better equipped to offset it than others based on contracts, et cetera.
Kevin McCarthy: Understood. And then a final question if I may on U.S. architectural. I saw you characterize April as off 25% due to the adverse weather. And I understand it would have come back in May and June. So if I net all of that out, how would you characterize the net impact of weather on that business in the quarter?
Charles Bunch: Well, weather, I think you saw the -- maybe the weather impact in April. Overall, we were -- the volume was down just slightly on -- in the business in the second quarter, and I would say that it's low single-digits volume. And that's probably slightly better than what we have been seeing over the last several quarters in the business. So I think it's an indication that the market has bottomed and maybe starting to improve slightly. We had a stronger quarter in the second quarter of 2010, I think, because of that first-time buyers, mortgage credit and the like. But I see some still sporadic, and there's mixed data. But by and large I'd say the information around the housing market even though it's not, I would say, ecstatic is slightly positive. And so I continue to remain optimistic that we're not going to have a robust recovery. I, think we have seen the worst, and we're going to continue to see very modest volume improvements as we go through the year. The second half of last year was quite weak in the architectural market here. So I would expect that things will be slightly better. Although we haven't seen a significant change in the trends, they're not deteriorating, certainly.
Operator: Gentlemen your next question comes to you from the line of P.J. Juvekar of Citi.
P.J. Juvekar - Citigroup Inc: AXA, today, talked about consumer trading down in paint. And given that you sell a lower price point paint at Lowe's, I'm wondering if you've seen any benefit from share gains there?
Charles Bunch: I would say we have not seen that trend significantly here in the North American market. In the European market where we have a good position, I would say it's not been significant. We feel like we don't have up-to-date share information on a quarterly basis, but we've held our own in Europe, if not slightly improved our share position. So I wouldn't think it is a significant trend for us. And obviously, as with many of our customers, we're trying to sell the highest-quality products even if sometimes we know that the consumers are looking in this economy to maximize value.
P.J. Juvekar - Citigroup Inc: Okay. And can you give us any update on your efforts to reduce TiO2 intensity in paints? Have you had any success with any of your trials?
Charles Bunch: We feel pretty good about a couple of the initiatives that we've had to improve the productivity or the efficiency of TiO2 usage in our paint formulations. We think that the results look promising, although I would tell you that we don't expect a significant improvement in the second half of this year. We have a good inventory level of both TiO2 and paints, but I think it's going to be a 2012 and beyond number. But everyone in the industry, both, I think, the other coatings companies and the non-TiO2 producers in the chemical industry, everyone's working to either improve the substitute products or improve formulations or the productivity of those molecules in our formulations. So I think you will see a bending of that demand curve over time as we all try to use more efficiently this increasingly expensive raw material for coatings.
P.J. Juvekar - Citigroup Inc: And finally, you said that trends at your own stores versus big boxes were similar, which I thought was surprising given that DI was gaining share from contractors. Is that not the case anymore?
Charles Bunch: Well, I would say that we haven't seen a big change in trends in the market this year. Obviously, share data is still -- it's still early in the paint season. We haven't seen the reporting from all of our retail customers. So I would say there's not a significant change in the trends from what we see.
Operator: Gentlemen, your next question comes from the line of David Begleiter of Deutsche Bank.
David Begleiter - Deutsche Bank AG: Back to TiO2. You mentioned bending the demand curve. Have you been able to use -- incorporate more Chinese TiO2? And in terms of your efforts in the lab, what are you most excited about? And could that be material in terms of TiO2 reduction in perhaps 3 or 4 years, or in the order magnitude, may be 15% to 20%?
Charles Bunch: I would say that we're -- we've been using more Chinese TiO2, both in Asia Pacific as well as in our developed markets. So that continues to be an opportunity for us, and as we've made acquisitions, including the most recent one in China, we found them using Chinese TiO2, effectively. There was an additional processing step. So we've been, I think, actively trying to improve our utilization of Chinese TiO2 and it is increasing. Now in terms of bending the demand curve, let's call it for TiO2 in any of the paint formulations, I would say that some of the numbers you were talking about are probably on the high end of 20% change in TiO2 loading or usage in our paint formulations is probably on the high end. I think traditionally, we've said it's going to be in the near term, somewhere in the order of mid-single digits, if we're all successful in some of these initiatives. And so I would still be targeting that over the near term, 3 or 4 years out. I think you should -- you could see some bigger changes. And I think we all are working hard to improve not only the quality of paint but the formulating around the raw material. So I think you're going to see a change over time, and -- but I don't know that in the near term, you're going to see changes to the magnitude that you're talking about, Dave.
David Begleiter - Deutsche Bank AG: And Chuck, one more thing. Just -- there's been a lot of M&A in chemical the last 6 months. In coatings, both and AXA have digested your recent large acquisitions. Are we coming to another point of large-scale M&A in coatings, from your perspective, in the next, perhaps, 1 to 2 years?
Charles Bunch: I mean, I'm not sure. I can't answer that specifically. There's been more consolidation, so there are fewer big players. I think you're still going to see a very active small- to medium-sized acquisition market. The bigger transactions are more complex in today's environment. But there are some opportunities. So I think it's possible, although I'm not sure that it is the most likely segment of the chemical industry to undergo some big M&A.
Operator: Gentlemen, your next question comes from the line of Dmitry Silversteyn of Longbow Research.
Dmitry Silversteyn - Longbow Research LLC: Nice quarter, and most of my questions have been answered. But I do want to follow-up on a couple of points. The Protective and Marine business, which was flat in the quarter, was there anything specific about year-over-year comps? Or is it an indication of perhaps that market just slowing down secularly?
Charles Bunch: There's some -- as we look at the cycle in new builds for Marine, we've said that this was going to be a flat to down year for new build activity in Asia Pacific. So I would say that the volumes that we report are more a reflection of that. I think the -- and that's more in the Marine segment. What we've seen in the Protective area, which is more infrastructure-related has been good. And the maintenance and repair side of the market has been solid. So it's more a reflection of new build in Marine in Asia Pacific.
Dmitry Silversteyn - Longbow Research LLC: The first quarter we saw a little bit of a positive volume, I believe, in that business. Now it's flat in the second quarter. If you expect it to be flat to down for the year, should we expect the second half of the year then to be down for this business?
Charles Bunch: I would say that the volumes we're expecting would be, I think, somewhat flat here, Dmitry. I don't think we're looking for a dramatic change in either positive or negative, again with the balance of protective plus maintenance or repair being up, new builds being down and overall volumes being fairly flat.
Dmitry Silversteyn - Longbow Research LLC: Got it. Second question, you mentioned that -- on the slides or at least there was a call out of that, the fact that you expect the fourth quarter 2011 to have a little bit of a catch up on the automotive OEM side from the softness we've seen in the second quarter after the earthquake. So how should we think about the kind of the seasonality in this business versus the typical seasonality where you have a significant tail-off in the fourth quarter?
Vincent Morales: Dmitry, we expect 3Q to be a very typical quarter. There is a -- we see the OEM assembly plants taking traditional downtime for the most part. And we expect the majority, if not all, of the lost sales we had in the second quarter to occur or we'll benefit from in the fourth quarter.
Dmitry Silversteyn - Longbow Research LLC: Okay. So instead of taking kind of a Christmas shutdown, do you think that the plants will continue to work for another week or so to try to catch up with volumes they missed in the first half of the year?
Vincent Morales: Or accelerate their production pace, yes.
Dmitry Silversteyn - Longbow Research LLC: Another question I have is on the Optical and Specialty business. You didn't give us any details on the breakdown of volume price mix, but if I'm just looking at the details that you did give us in the overall company-wide price volume mix, it looks like most of the optical growth came from currency. And it looked like volume actually had been down a little bit. I'm sorry, yes, pricing may have been down a little bit. Is that what happened?
Charles Bunch: No, pricing was relatively flat. Volume was positive, and there was a positive currency impact. So I would say that, that's the equation to get to those sales numbers in optical. The silica business was actually strong both from the volume, the pricing and currency standpoint.
Dmitry Silversteyn - Longbow Research LLC: Okay. And then you also mentioned that the Silicas business would benefit from higher tire and battery markets. Is that a share gain situation? Or I mean -- or is it just the overall OEM -- kind of what's driving the higher tire and battery sales this year versus last year?
Charles Bunch: What's happening now, the tire market globally is very strong, especially here in the developed markets. So in North America, I think you have a situation where there was a lot of restructuring in the industry. There were some tariffs that were put up, and so the North American tire industry as an example is working full out. But the biggest reason behind this demand growth in Silicas is that Silicas is a specialty chemical additive in the tire manufacturing process, and it improves rolling resistance in tire performance. So what you're seeing today is the effect of what we would call the green tires. So you improve your miles per gallon performance with these higher silica-loaded tires. So I would say this is not a -- necessarily a share play. I think all the silica manufacturers are enjoying this improved volume. So it's more of a -- the performance attributes of silicas and the increased sensitivity for consumers, both at the OEM and the replacement market. Plus some of the CAFE standards and the other mileage standards that are being promulgated now, it is really requiring higher miles per gallon per vehicle. And one of the least expensive ways to get that better mileage is incorporate more silica into the tire formulation.
Dmitry Silversteyn - Longbow Research LLC: Okay, I got it. That's very helpful. And final question, can you give us the relative sizes of the U.S. architectural business versus -- I guess, it's Asian that's the other part of the Performance Coatings, right?
Charles Bunch: What, the Asia architectural, you're talking about? Well, in architectural today represents about 25% of our Performance Coatings segment. And our North American business is the largest segment of that. We have a -- in Asia Pacific, we have a nice-sized business in Australia, New Zealand, a much smaller business in China. And those are the 2 main markets that we participate in, in Asia Pacific.
Dmitry Silversteyn - Longbow Research LLC: Okay. So most of the 25% that's architectural paint is North American?
Charles Bunch: Yes, we have also South American business that's based in Brazil, but that's a part of that as well. But the North American architectural is the biggest business in that business unit within Performance Coatings.
Operator: Gentlemen, your next question comes from the line of John Roberts of Buckingham Research.
John Roberts - Buckingham Research Group, Inc.: It sounds like you're pulsing the advertising and merchandising in Optical? Is there a follow-on acceleration in earnings? Because earnings growth was less than revenue growth, I think, during the segment.
Vincent Morales: John, the biggest factor there is we did spend a considerable amount more for that strong growth we realized in emerging regions. And the spend there modestly diluted the margins.
John Roberts - Buckingham Research Group, Inc.: And does it now flip in the next quarter where we have earnings?
Vincent Morales: No, we think that, we see good opportunities abroad and our focus remains to secure higher growth rates and still have a very -- well, I'll call it a strong margin performance.
John Roberts - Buckingham Research Group, Inc.: Were you down in any of the developed markets in that segment in the...
Vincent Morales: No, volume growth, we had volume growth in all major regions.
Operator: [Operator Instructions] Gentlemen, you have a follow-up question from the line of Bob Koort of Goldman Sachs.
Brian Maguire - Goldman Sachs Group Inc.: It's actually Brian Maguire on for Bob. I think last quarter, you said that you thought you were confident that you'd be able to cover 90% of the raw material increase with price, and after another quarter where propylene went up and then came back down and TiO2 is up, we've seen some puts and takes there. But I was just wondering if you could update us on if you think that that's still a good number to use or if there's a different number you're comfortable that now?
Charles Bunch: I think that's a good target for us. We didn't make as much progress -- as we've said, we need one, to more typically two, quarters in order to fully offset the raw material price increases. Those were still coming in the second quarter. So we didn't have a significant catch up for our prices versus the impact of the raw materials. But as I've said in the second half, we're looking at flattening raw material cost. We expect now to realize more pricing here in the second half, so 90%, I think, over the next 2 quarters is a realistic target for us.
Brian Maguire - Goldman Sachs Group Inc.: Okay. And just one housekeeping one. What do you expect the annualized interest expense savings to be on the $400 million of debt that you just repurchased?
Vincent Morales: That would be between $1 million to $2 million per quarter.
Operator: Gentlemen, your next question comes from the line of Robert Reitzes of BroadArch Capital.
Robert Reitzes - Bear Stearns: Just one follow question on the caustic and chlorine. How long do you -- is the plant down, number one? And number two, what does it represent of your total productive capacity in the industries if you know that?
Vincent Morales: The plant will be down in Q3, you're talking about Bob, just to clarify?
Robert Reitzes - Bear Stearns: Yes.
Vincent Morales: Plant will be down -- we're talking a couple of weeks, so the impact on -- again, for PPG alone, the impact's similar to what we had experienced in Q2 and the number of tons. I would say for the industry, it's not significant other than inventories. Holistically in the inventory remain -- our inventories are very low. Let's put it that way.
Charles Bunch: The whole plant is not down. It's just one circuit.
Operator: Gentlemen, you have an additional follow-up question from P.J. Juvekar of Citibank.
P.J. Juvekar - Citigroup Inc: Chuck, can you talk about your strategy with the paint stores? Are you going to invest significantly in this channel? Or is the focus going to be more on international markets?
Charles Bunch: Well, we think that the paint store channel for us has been stable in terms of store count. We're at 400 stores. We are waiting for signs of improvement in the market in order for us to add to that store count. But we remain committed to the channel and to the business. And I think there are good opportunities for us around the world. Globally, we're pursuing a growth in Architectural Coatings. The Dyrup acquisition that we announced, other initiatives in the emerging markets. We're committed to the Architectural business, and we think that it represents a good opportunity. As do other end-use markets for coatings in the emerging regions, but the store channel here, we think it's going to be a solid contributor. We'd like to see a little more market growth, and we think if we're patient, we will see improving trends in that channel and in the overall architectural market here in North America in the quarters and years to come.
P.J. Juvekar - Citigroup Inc: Okay. So you're not looking to add anything in the near term to the store channels?
Charles Bunch: I think right now, we're continuing to evaluate opportunities, but I would say those would be incremental and tied to whether we see improving trends in given regions or markets. But I would say over time, we're going to add to our store count. But in the near term, we haven't seen enough strength that would lead us to say, "Hey, we need to continue to move up our store count," in what has been a relatively weak market.
Operator: Ladies and gentlemen, this concludes the question-and-answer portion of today's conference. I will now turn the presentation back to Chuck Bunch for his closing remarks. Sir?
Charles Bunch: Well, I would just like to thank all of you for attending our second quarter 2011 conference call and Q&A. And we appreciate the dialogue, and we're very pleased with our performance and the results. And we look forward to talking with you in October when we announce our third quarter 2011 results. Thank you.
Vincent Morales: Thank you.
Operator: Ladies and gentlemen, thank you very much for your participation in today's conference. This concludes your presentation, and you may now disconnect. Have a great day.